Bernard Charles: [Audio Gap] on drug administration to help revolutionize cardiovascular science with realistic simulation. I encourage you to visit our website and learn more about it, including viewing the video from this morning's presentation. Moving now to 2014. It was a significant year of progress for Dassault Systemes for more perspectives. Our purpose, our offer, our growth drivers in our organization, we set and met our objectives. At the same time, we delivered financial results well aligned with our goals. Most importantly, our objective was to enrich the value we bring to customers with our 3DEXPERIENCE platform and Industry Solution Experience is leading the way. Looking at the actions we took across the company, each and every one of them was very well aligned with this customer objective. We have a very clear understanding of the value we want to bring to the industries, business and users we address. We have strengthened our financial performance, and we welcome 21,000 new clients in 2014. Looking forward, we have a dynamic set of growth drivers, well positioning us to achieve our next 5 years plan of doubling non-IFRS earnings per share by 2019. Turning to our financial results for both the fourth quarter and the full year. Our performance was solid. The fourth quarter continued the progress we have made since the start of the year, leading to the achievement of our 2 key operational goals, as Thibault will discuss. We saw good results from our 3 sales channels, leading to revenue coming in well in line with our objectives. Our performance for both the fourth quarter and the full year reflects sharping higher new licenses revenue growth. The improving new business licenses trends this year on an organic basis come from increasing demand across most of our major brands. Our largest brand, CATIA, was a major driver with new licenses up 20% in constant currencies in 2014. ENOVIA also saw sharply higher new business activity, increasing 25% in constant currencies. We saw good support by SOLIDWORKS and SIMULIA. On a regional basis, the Americas growth was due to the improving dynamic we are seeing in North America, particularly taking shape in our direct sales channel, where we had made a number of improvements. Europe, despite the macro softening, delivered solid results, led by our largest region, Germany. With sharply higher new business activities during the fourth quarter, leading to a great year. In Asia, there is a good breadth to our results with Japan, China and Korea, all doing well. And despite some quarterly volatility, the strongest growth on our organic bases during 2014 came from Asia. Our largest acquisition during 2014 was Accelrys, which is now the foundation of our BIOVIA brand. In addition to a leading presence in life science, BIOVIA has a strong list of customers in aerospace, in the clinical industry as well as High-Tech and Consumer Packaged Goods, sums to its work in the materials science. Let me just mention that this is a perfect example of why our industry diversification is really bidirectional in nature and beneficial to our current customer base. Innovation is cutting in part from the intersection of multiple industries. This is clear with BIOVIA, where you see the importance of material science to aerospace, for example, but also automotive and high-tech, certainly clear to many of you who may have attended CES last month. BIOVIA's full year revenue results were well aligned with our acquisition's objectives. Recent example of its activities was with Pacira Pharmaceuticals, where they adopted BIOVIA solutions to help improve the process production operations internally to improve yield as well as with the contract manufacturers, in order to accelerate manufacturing scale up through better technology knowledge transfer. We are also progressing in terms of vertical industry diversification. With respect to new industries, they represented 27% of our software end-user revenue in 2014. Increasing 2 percentage points, we are well-positioned with respect to our goal of more than 30% over the midterm. With BIOVIA, we are increasing our presence in life science on more broadly science-based industries. And with our industry-themed leadership, sales channels on Industry Solution Experiences, we add a favorable dynamic also in Consumer Packaged Goods on retail, energy, High-Tech and construction during 2014. In Semiconductors, we have a strong position as our solutions are well adapted to their market needs. Here in Europe, STMicro -- STMicroelectronics has simply selected our Silicon Thinking Industry Solution Experience in connection with their large system-on-chips manufacturing a next-generation high-volume electronic product, such as mobile and consumer application. And Permasteelisa Group, focused on architecture envelopes [ph] on the interior systems, selected ENOVIA on the 3D experience platform to create synergies among its different business unit to achieve process standardization and increase efficiency through a single global share platform. At the same time, we had an excellent dynamic in transportation and mobility with end-user software revenue growth up double digits in constant currencies, benefiting from an excellent dynamic across CATIA, ENOVIA and SIMULIA as well as reflecting the addition of 3DXCITE, with a leading position in transportation and mobility. With respect to our 3DEXPERIENCE platform on the underlying Version 6 architecture, it was an active year with about 60 significant go lives with direct customers. In total, these 6 new license revenue increased 30%, and they represented 25% of collated new licenses revenues for the full year. We are seeing larger transaction, and they are including more disciplines. The recent transaction Dura Automotive is a perfect example, where they decided to adopt our entire portfolio to create a single business platform across their business unit. Our strategy on reaching our Version 5 offering with our Version 6 technology is enabling our customer to take advantage of some of its benefits while giving flexibility to them to progress at their own pace. Now I would like to turn to a strategy update and cover several key topics with you. To reach our ambitious mission on strategy objectives, over the last 3 years, we have completely reshaped our applications portfolio and adapted all facets of our organization. Research and development's significant efforts were quite visible in the first quarter of 2014, where we delivered our 3DEXPERIENCE platform and introduced an expanded portfolio of Industry Solution Experiences, including our first cloud-plus mobile solutions. And this effort followed a massive simplification of our product portfolio. 2014 was a significant year, too, of progress in terms of advancing on our purpose and expanding our addressable market. Photosphere, biosphere, geosphere, these are not simply words to us. We are advancing on our purpose with our new brand, BIOVIA, focused on biology, chemical and material sciences. With the introduction of our new part of GEOVIA, which is called 3DEXPERIENCE City, it's possible now -- it is possible to now represent the behaviors and experiences of different systems to run a smart city such as water, electrical grid, transportation and people. And we are advancing on building a comprehensive offering for businesses and people on upstream experience thinking to save on marketing. This year, we added design of molecules with the creation of BIOVIA Global Business operation planning, with the acquisition of Quintiq, on digital marketing with the creation of 3DXCITE. The 3DEXPERIENCE platform is a critical enabler of our strategy, gathering altogether all our applications for the best product on Industry Solution Experience. Client engagements show the comprehensive nature and range of our offer. Lamborghini has adopted 3DXCITE to offer an online configurator for potential customers, including gaming features, where the designed car is ready for an online drive. Carlsberg, the fourth largest brewer in the world has selected Quintiq to help manage sales and operations planning, master production scaling and detailed scheduling for 41 breweries in China. And Mead Johnson Nutrition is using BIOVIA solution for compliance for pediatric nutrition products. The 3DEXPERIENCE platform is also a critical enabler to our cloud-plus mobile strategy. We launched our first cloud offering during 2014. It is clear that the value of connecting people quickly, easily to work and collaborate altogether is a game changer in areas such as project management, productivity, closer connectivity between design and manufacturing, among many other benefits in terms of simplicity and cost. For 2015, we are looking to move forward with our indirect channels on a progressive basis. From a go-to market perspective, we have been adapting our sales channels to our Industry Solution Experience strategy on delivery. For direct sales, that has meant increased responsibility at the local geo level, improvements in our sales processes, increased industry expertise and elevated customer engagement, knowledge building. Looking at our results, it is clear that the transformation underway in Europe sales is gaining traction. More broadly, our sales channel initiatives include strengthening of the role of our geographies. We want our customers to benefit from our being a global company, and at the same time, benefit from us having a strong local presence. To achieve this balance, we are looking to push more flexibility on decision-making to the geos as they are guiding the plan for growth at the local level. We are working with system integrators, improving our network and ensuring that we have the right partners with the right expertise in the right geos to support our customers and extract the full value of our Industry Solution Experiences working together, leading to accelerated deployment for the benefit of our clients. With respect to our indirect channels, especially the value solution channel, it is about increasing the level of industry expertise as part of the capacity additions we are making. So we will be looking to add about 50 new VARs to support our diversification in different part of the world. With that summary, let me past the call now to Thibault.
Thibault de Tersant: Good afternoon, and good morning to all. My comments today are based upon our non-IFRS financial results. In our press release table, you can find the reconciliation of our non-IFRS to IFRS data. In addition, revenue growth rates are stated in constant currencies. Before going into the detail, let me share a few key figures. We met our 2014 revenue growth objective of 15% to 16% in constant currencies, coming in at 16%. I think this speaks well to our planning and management in total. And we achieved our 2014 EPS growth objective of 8% to 10%, excluding currency effects, coming in at 10%. On top of these objectives at the onset of the year, we also added 2 key operational objectives to our plate. Number one, to deliver organic 2-digit growth in new licenses revenue on a constant currency basis for 2014. And number two, to deliver organic operating margin expansion of 150 basis points, excluding currency effects. And we did. Moreover, we did so during an extraordinary year of internal transformation and addressable market expansion. And finally, we initiated our 2015 financial objective. We see a year of organic double digits new licenses revenue growth, a stable non-IFRS operating margin and double digits non-IFRS earnings per share growth. Turning now to our software revenue. It grew 17% in fourth quarter and 13% for the year. These results include the acquisitions we have made on an organic basis. Software revenue increased 7% in the fourth quarter and 6% for the full year. Driving our results was a strong improvement in new licenses revenue on an organic basis. In the fourth quarter, new licenses revenue increased 12% in constant currencies, and for the full year, the decrease was 10%. We are benefiting from broad-based improvement, first, from a regional perspective, with both the Americas and Europe, demonstrating strong organic results in the fourth quarter and all 3 regions for the full year. And secondly, we are benefiting from SIMULIA, broad strength across a number of industries including our largest, which is transportation and mobility. Moreover, all along the year, we have seen an improvement in sales performance in our direct sales channel, and this remained the case in the fourth quarter with sharply higher growth. Turning to our recurring software revenue. It represented 71% of total software revenue and was comprised of our maintenance and also rental licensing activity. Recurring software revenue increased 13% in the fourth quarter or in total, coming in several points of growth ahead of our plants and very satisfactory performance from acquisitions and renewals. Maintenance is the largest portion of recurring revenue. We continued to see a strong level of attach rate and strong renewal rate trends across our product lines. Maintenance is a lagging indicator, so with our new licenses revenue returning to accelerated growth, maintenance will, in large measure, follow it. Rental activity reflected strong growth for SIMULIA in other parts of our portfolio, offsetting part by planned usage adjustments at some large clients as we have discussed. For the full year recurring software revenue increased 11%, of which 5% was organic. Turning now to SOLIDWORKS. It represented 19% of total revenues in 2014. SOLIDWORKS software revenue increased 14% in the fourth quarter and 10% for the full year. There are several facets to this growth, including SOLIDWORKS unit sales growth, multi-product sales, maintenance growth. And finally, I think the mix benefit, the average selling price increased during the year. Turning now to services and other revenue. Let me remind you that the large increase this year reflects the addition of our acquisitions. In total, the acquisitions have been accretive to our gross services margin. From an organic point of view, our progress in improving our services gross margin has encompassed several measures, including improving how we develop and scope the deliverables for our project and improving our operations in terms of utilization rate and other measures of productivity and efficiency. In combination, we have made significant progress moving our services gross margin to 15.8% in 2014 from 11.9% in 2013. And if you go back to 2012, it represents 10 points of growth in 2 years. Turning now to our operating results. Our 2014 non-IFRS operating margin came in just under 30%, 29.8% to be precise. Looking at our results compared to 2013, where our non-IFRS operating margin was 31.5%, approximately, 80 basis points of the decrease came from currency, which we more than offset with our 150 basis points organic increase. And this improvement also helped mitigate some of the estimated 240 basis points impact from acquisition dilution. The organic improvement in the operating margin came from several areas, notably, cost of services as well as major expense categories, including R&D and sales. Coming back to earnings per share. There is a certain earning dynamic, which has been hidden by currency most of the year and, by the way, also from many former years. That was not the case in the fourth quarter, where non-IFRS earnings per share increased 15%. This figure is precisely the same on a reported basis and excluding currency effects. For the full year, non-IFRS EPS increased 4% as reported and would have been a 10% growth, excluding currency effects. Our share count, was relatively flat, so it was not a contributor to EPS growth in 2014. We did, however, have a larger share repurchase activity during the year to offset shares exercise and distributed as dividends. Turning now to our balance sheet. Our net financial position was EUR 825 million at year end, with cash and cash equivalents at EUR 1,117,000,000 and long-term debt of EUR 350 million. During the year, our principal uses of cash was, first and foremost, for acquisitions, in the amount of EUR 955 million. We increased share repurchases to EUR 172 million, and we also received EUR 58 million for shares side. So it was a more active year clearly from the repurchase of shares side. Dividends paid in cash amounted to EUR 36 million for those electing cash, and our capital expenditures totaled EUR 45 million. The final components to our net financial position was our cash flow from operations. In 2014, it totaled EUR 500 million compared to EUR 507 million for 2013. In short, operating cash flow increased about 5%, excluding the impact of acquisitions. In the presentation, we have provided details to the evolution of the operating cash flow. Let me just mention that unearned revenue increased 6% on an organic basis and excluding currency effects, compares to 1 year ago, so unearned revenues to that EUR 637 million at year end. And one brief last comment on DSOs. During the fourth quarter, DSOs increased by 9 days, but 8 of these 9 days were reflecting the integration of acquisitions. So from an underlying standpoint, there was no change in trend. Let's turn now to our 2015 financial objectives. Here, there are several points I would like to underline. Our outlook is based upon our growth drivers and strengthened organization. It is not assuming any material change in the macro backdrop, one way or the other. The fourth quarter backdrop and some of the trends in our business seemed appropriate to be used in order to formulate our objective. We anticipate a continued positive evolution for our new licenses activity, leading to the expectation of a 2-digit constant currency increase in new licenses revenue on an organic basis in 2015. And we see a stable non-IFRS operating margin for the full year, with an estimated organic improvement of 100 basis points, excluding currency, offsetting the estimated 100 basis points of acquisition dilution. The early part of the year, we'll see operating margin decreasing, but as the year progresses, this will reverse itself, leading to the stable full year results at the operating margin level and in comparison to 2014. With these building blocks, we see non-IFRS earnings per share increasing in the range of 12% to 15% for 2015. We have provided our first quarter objectives also. I would like to point out that our growth outlook for the non-IFRS EPS in first quarter is consistent with our full year expectation of double-digit. However, you may recall that we received a onetime R&D tax credit in the first quarter of 2014. So from an operating margin perspective, it represented about 130 basis points positive impact. And it is, of course, a onetime impact. So if we exclude this onetime benefit, our non-IFRS objective for first quarter would then represent a year-over-year growth of 11%, which becomes, I believe, more consistent with our full year goal of 12% to 15% growth. From a currency perspective, we are using $1.20 per euro and JPY 140 per euro as assumptions for, in fact, both the first quarter and also the full year. To recap, for 2015, we are targeting to grow revenues by 11% to 12% in constant currencies, and this translates to a revenue range of EUR 2,700,000,000 to EUR 2,720,000,000, based upon our currency assumptions. And we are targeting a non-IFRS EPS range of EUR 2.04 to EUR 2.09, representing growth of 12% to 15%. Let me now turn the call back to Bernard.
Bernard Charles: While we have reported to you on 2014, here at Dassault Systemes, we are already well into 2015. So what are we looking to do? First, we have outlined for you our financial goals. With a year of solid revenue opportunities, focused on continuing to improve our processes on double-digit earnings per share growth. Second, while we are growing in revenues and personnel, we see partnering as a key part of our DNA and a very good way to leverage our efforts. So we will look to make meaningful progress during 2015. So we believe it is critically important to be close to our clients all around the world. And that is why we created the 12 geos under our 3 reporting regions. We have been empowering these geos so that they have their local management, people and resources to support their industries they serve, their customers they work with and the companies that will become their future clients. Finally, the last 3 years in total have been about creating a new Dassault Systemes to well orient ourselves to our next decade long vision with 3DEXPERIENCE, and our expanded purpose, sustainable innovation for product nature and life, and our Social Industry Experience strategy. We are now positioned to begin to accelerate our execution. To be very clear, I am not changing the guidance Thibault just shared. What I am talking about is milkier process. With the many assets we now are in place, Dassault Systemes is ready to move to the next stage ahead. Now Thibault and I would be happy to take any questions, and we thank everyone for their participation earlier today on this call. Operator?
Operator: [Operator Instructions] And you have a first question from the line of Jay Vleeschhouwer.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: A couple of questions. Bernard, you highlighted your expectations for the growth of your new industries to eventually over 30% of your revenue. There are quite a few different verticals within that case. Could you talk about your specific expectations for such verticals as CPG, where, for example, you've made some with Procter & Gamble; retail, which I think is of interest to you; electronics; and AEC, just to highlight a few of the up and newer markets for you? And then I have some follow-up questions.
Bernard Charles: Jay, it's clear that diversifying on new industry takes time. Very often when we start with new industries, so you start with small orders on pilot project. But clearly, for the industries you have been mentioning here, like CPG, retail, High-Tech and AEC, they are to different stage of development. In High-Tech, we have done amazing progress in 2014. It was, in fact, if I remember what Thibault told me, the fastest-growing industry in terms of software growth significant. In AEC, we are still rather small, except on very complex projects. But we are now seeing incredible attention on wins with small mid-sized companies who wants to really use the cloud mobile. In faster, we have set up for AEC or a shop, being one example in New York and there are many users. So what we see in new industries is very large clients looking for transformation of their business and small mid-sized companies contemplating to change the way the business is done to be more competitive and innovative. So I think today in the industries you named, CPG, retail, High-Tech and AEC, it's the right list for really new diversification area. As you know, we have a few pilots for innovation platforms in the domain of financial services, but those are at this stage, more pilots, but big pilots. I mean, contracted pilots, not test pilots. But they are still pilots, and we are careful about making sure we do demonstrate the benefit before we start to replicate. So as Thibault said in the previous remarks, and I said, I think we have now the visibility clear in terms of having double-digit growth in those industries and really elevating the share of those new industries with a possible 30% contribution. And we have seen the acceleration in Q4, which gave us strong basis. And last but not least, all industries are talking about Internet of Things. Internet of Things is not High-Tech. Internet of Things is for everything, including industrial, including x management of systems and so on. So it's not marginal. Everyone is talking about new materials and material science, so the cost specialization across these industries, we believe is going to accelerate anyway. So, Jay, we feel that there are 2 factors: growth in those industry and repositioning of providing unique value to existing industries. Because when you do a connected car, not so many companies in the world can do it. And we are at the heart of many of those projects.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: Thanks, Bernard, for that. Secondly, could you talk about your plans and expectations for your cloud products and services? It seems very clear for those who must have been tracking this industry for a while that we're in the early stages of a potentially fairly significant platform shift, perhaps not dissimilar to what we saw a couple of decades ago on the desktop. And could you compare your plans with what you've seen so far from some of your traditional competitors or perhaps even -- we also see some smaller companies moving into this new platform? So it would be very useful if we could understand how you're thinking, particularly in terms of your guidance for any cloud contribution for DS.
Bernard Charles: The first comment I would do on that is that the cloud mobile world is not putting a desktop on the cloud. Something else has to be done, and I think that something else is what we have done with 3DEXPERIENCE platform. And I think -- so in terms of work process, practices, experiences, trying to just take an application, putting it under the cloud is not the way to do it. So I think clearly for us, the cloud is absolutely the game changer for AEC. It's a game changer for retail, and it’s game changer for CPG. At first -- and whether to focus there first, we have done an amazing project with an engineering company -- engineering service company, AKKA, a big company. They do service for the big brand names of automotive. And they have done an entire connected vehicle fully on the cloud. So we can now confirm that we can design an entire vehicle on the cloud, without any imitation in terms of capabilities to design, simulate and produce. So -- but I think in the years to come, new industries will go first on supplementing existing additional industry for cybersecurity reasons, because people don't talk enough about that topic, but it's a real topic. And I think we have developed very important special infrastructure for extremely high security environment, especially when you do collaboration. So enough said, but I don't think the companies who are trying to port application from the past to the cloud will be as successful if they don't think about the new experience. And that's what we are building here. And we are in a good start with AEC, as I said, and also CPG retail.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: Okay. Just 2 last ones then. You made some interesting announcements today. These are the -- your services relationships, such as the additional work you'll be doing with Geometric. So the question there perhaps for Thibault is, to the extent that you achieved some internal savings with respect, for example, to your services, cost of revenue by not having to do certain work internally, are you thinking in terms of reinvesting those savings back into the business? And if so, where? And then lastly, you've also spoken at length about the investments and changes in your BT and value channels. Would you expect in the long run a material change in the relative proportions or contributions from those 2 businesses, where BT, historically, has been a majority of your total revenue?
Bernard Charles: Maybe one thing I would say, before I give the floor to Thibault to address your question, is I think the way this announcement should be -- the reading of this announcement today is not about lower cost, or delivery center. It's about being able to expand the capacity to build up and serve our large-scale system integrators, because we think we are at the point now where the solutions we have are really enterprise-wide solutions, and our customers are really asking us to have powerful consulting implementation firms. That's why the fact that are Laurent Blanchard are coming from Cisco, Europe joined us last year, atop [ph] Vice President are now in charge of all of these network. He was at Cisco before and at Cisco, this is what they were doing. With a amazingly powerful network of implementers. I think we are building this knowledge for -- to go to the next scale. And that's the way you should read this announcement. But of course there are effect on the cost structure of service, and I'll let Thibault come on that.
Thibault de Tersant: Yes. I think the most important is the strategy. And so our strategy is to elevate the services we render in order to do more consulting and project architecture in order to support our -- the partners and system integrators. And we want to do that without dropping, of course, existing customer engagements we have, and also keeping the ability to handle first-of-a-kind type of implementations and to broaden our support globally to integrate those. And also -- so this global delivery center in India is aiming at doing exactly that.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: And then the BT value mix question, please?
Bernard Charles: Well, this has 2 answers I think. My first answer would be to say that we see a lot more we can do with large accounts. And in fact, in terms of new license growth dynamic, the BT channel was the strongest in 2014, and it is also taking a significant goal for 2015. So right now, we see BT keeping its share in our total revenue. Having said that, if we project ourselves in the future, there is a vast opportunity with mid-sized companies that will be exploited by PC and VS channels. So it depends on the term you want for answering your question. I would say that we will continue to see the same weight of BT in the coming 2 years, but progressively, we should see a shift towards indirect channels.
Operator: [Operator Instructions] And you have another question from the line of Michael Briest.
Michael Briest - UBS Investment Bank, Research Division: Just having a chance to look at the SOLIDWORKS numbers. I mean, it looks as though they have a pretty strong currency effect, so I'm wondering if the U.S. was particularly strong within the mix. And also pricing, even including currency, was quite strong. Could you talk about that dynamic there? And also maybe what your thoughts are on subscription as a sort of delivery model or pricing model for SOLIDWORKS.
Bernard Charles: Michael, you are a good observer. So I am afraid I'm going to have to be a little technical here. SOLIDWORKS does invoice its VARs worldwide from the United States. They do invoice them in euros, of course, for European VARs. But it is, since the beginning of SOLIDWORKS, a model where the invoicing is done from the U.S. So when there is a strengthening of the dollar during a given quarter, like the fourth quarter, for example, this has a positive impact on SOLIDWORKS revenues. And by the way, it has a negative impact on the financial revenue, because we have, of course, the opposite impact, which is depreciation of receivables. But this is why the currency impact on SOLIDWORKS revenue is, in fact, larger than for the other brands we have.
Michael Briest - UBS Investment Bank, Research Division: Okay. And on subscription or...
Thibault de Tersant: Subscription. The nice increase in subscription is coming from 2 elements: One, an increase and improvement in renewal rates for SOLIDWORKS subscriptions; and two, a modification, that I think we highlighted at the beginning of the year, in the margins that we did for SOLIDWORKS, where what we did was increase the margin on selling new licenses and decrease it for recurring revenues. So the impact of that is, in fact, to reduce the revenue we get for new licenses for SOLIDWORKS, which has been the case in a significant manner or in 2014 and improve it for subscriptions. The goal, of course, is to continue to invent SOLIDWORKS VARs to be very dynamic in prospecting and selling new licenses.
Michael Briest - UBS Investment Bank, Research Division: Okay. And then just on the acquired revenues this year, I think you said on this morning's call about 3.5% effect. That sort of comes out about EUR 80 million, EUR 85 million, and it seems a bit low to me, because you're going to get an extra 4 months of Excel risks, which you said was over EUR 85 million for the 8 months you had it, and Quintiq should be north of EUR 50 million as well, can you sort of help me there?
Thibault de Tersant: No. You're right. Actually, I was the giving the impact on software revenue. I was not commenting on services.
Michael Briest - UBS Investment Bank, Research Division: Okay. I mean, I'm coming at about EUR 110 million in total, is that fair?
Thibault de Tersant: Yes, that's right.
Operator: There are no further questions at this point, sir.
Bernard Charles: Okay. So thank you very much for participating to this call, and many of you were there this morning for the annual presentation and looking forward to talk to you again. And have a good day, and bye-bye now.
Operator: That concludes our conference for today. Thank you for participating. You may all disconnect.